Operator: Good morning, and welcome to Campbell Soup Company’s second quarter 2026 Question and Answer Session. After the introductory remarks, we will open the lines for questions. As a reminder, this conference is being recorded. I will now turn the call over to Rebecca Gardy, Chief Investor Relations Officer. Ms. Gardy, you may begin.
Rebecca Gardy: Good morning, and thank you for joining the Campbell Soup Company second quarter 2026 Earnings Question and Answer Session. Earlier this morning, we released our earnings press release, earnings slide presentation, and management’s prerecorded remarks, including both the transcript and the audio of the remarks. All of the Q2 earnings materials are available on our website. At the conclusion of today’s live Q&A session, we will post the transcript and an audio replay of this call. During today’s call, we may make forward-looking statements, which reflect our current expectations about future plans and performance. These statements rely on assumptions and estimates, which could be inaccurate and are subject to risk. Please refer to slide 3 of our earnings presentation or our SEC filings for a list of factors that could cause our actual results to vary materially from those anticipated in the forward-looking statements. Because we use non-GAAP measures that we believe provide useful information for investors, we have provided a reconciliation of each of these measures to the most directly comparable GAAP measure in the appendix of our earnings presentation. Non-GAAP measures are not intended to be considered in isolation or as a substitute for the financial information presented in accordance with GAAP. Joining me today are Mick Beekhuizen, Chief Executive Officer, and Todd Comfer, our Chief Financial Officer. We will now open for questions. Operator?
Operator: Thank you. Our first question today comes from Andrew Lazar from Barclays.
Andrew Lazar: Maybe focusing in on Snacks to start with. From a top-line standpoint, what are you seeing in the key areas here of Goldfish, Fresh, and Salty? And so what is the plan for progress in the back half? And I guess for Salty specifically, you called out heightened competitive intensity, around which there has been plenty of discussion lately in the category. I am trying to get a sense of what the solution is. Is it lower everyday prices, higher promotional spend, bonus packs, etc.? And what sort of magnitude are we talking about? And then just on the margin side, the 7% snack segment margin was a bit of a shock. Given the investments that need to be made, is that the sort of level we should be thinking about for the next few quarters? I know it is a lot. I was hoping we could dig into that a little.
Mick Beekhuizen: Thank you for the questions. We will take them one by one. So Snacks’ top line, Salty, I will comment on, and then Todd, if you can take the margin. And I will give the broader lead-in around the margin. If you look at the Snacks top line, three key focus areas: first, Goldfish; second, Fresh Bakery; and then Salty. Let us go through each of these pieces. With regard to Goldfish, we need to make sure that we maintain the Goldfish momentum. We had momentum, as you saw in our prepared remarks, going throughout the first half. We need to see that sequential progress throughout the second half of the fiscal year, and that is really with regard to in-market consumption. Then when I go to Fresh Bakery execution, we ran into execution challenges as we described. When I look at the remainder of the year, I expect that in Q3 we will likely see some continued headwinds, and that is partially self-inflicted as we reduce some market promotional activity in order to make sure that on-shelf availability and service levels are improving, and then by the fourth quarter we are working towards back to more normalized levels. When I get to Salty, we need to improve our overall competitiveness within that part of our Snacks portfolio, and it is predicated upon three key focus areas: first, making sure that we improve our competitiveness from a pricing perspective; second, focusing on the daily blocking and tackling, or the in-market execution, which is absolutely critical; and third, evolving our portfolio with innovation, which is primarily focused on premium, better-for-you, as well as flavor exploration. All that being said, within Salty, we expect we are going to make some progress throughout the second half, but it will take some time. With regard to your specific question around Salty pricing—and my comments really come back to the chips side of the business—Salty for us consists of two key pieces: first, pretzels; and second, chips. That is really where we are seeing more of that competitive pricing dynamic playing out, and you have heard that also from some of the other players in the space. What are we doing there? It is really focused on promotional activity. It is going to be very surgical, and we are going to make sure that we are competitive in the areas that matter during the times it also really matters—so again, just making sure that we are competitive in key moments. There is always a continued opportunity around some of the price pack architecture; however, that is going to take a little bit longer. From a margin perspective, obviously, poor performance, down 390 basis points in the quarter.
Todd Comfer: As we mentioned in the script, about a quarter of that was the bakery performance that Mick just mentioned, and three quarters of it, quite frankly, is just when net sales were down 6%, there is a very large deleverage both in our plant network and also as we continue to invest in marketing and SG&A. When you are down 6%, that math on margin is challenging. For the second half, we will do a bit better on Snacks margin in Q3. We are still in the process of stabilizing bakery. We are still going to have a fair amount of spending, particularly in marketing, in Q3. So we will see some margin improvement in Q3, nothing dramatic. I think we will see a lot better performance in Q4, because we feel very strongly we will have the bakery performance stabilized much more greatly at that point. We will have lower marketing year over year, and then we have a lot of activity on Goldfish in the quarter, which is by far our highest margin product line in the Snacks portfolio, so that should help margin as well.
Operator: Our next question comes from Tom Palmer from JPMorgan.
Tom Palmer: Maybe to start off, I wanted to get a little more detail on the Fresh Bakery challenges. The remarks to Andrew and in the prepared remarks indicate that they emerged before the winter storms. It seems like they are related to execution challenges. I am just trying to understand where you are seeing this. Is this a production issue? Is it a challenge with route to market in terms of servicing customers? And then just how you are addressing it in terms of resolving it here over the next couple of quarters? Thanks.
Mick Beekhuizen: Let me address it. With regard to Fresh Bakery, I mentioned this in my prepared remarks as well. It is really focused on both the manufacturing as well as distribution disruptions, and it was exacerbated by the January winter storm. But you are right, we already started to see that throughout the quarter. It is really coming back to making sure that we have products available on the shelf. That comes back to service as well as the in-market execution piece. We deployed a cross-functional team and we are already seeing measurable improvements across the board. At the same time, I am also very conscious that we need to make sure that we are making sustainable improvements. As a result, we are investing in the business so that the changes that we are making are sticking, so that we can service this business better going forward. As I mentioned, we already started to see progress over the past, call it, four weeks. We have to continue to work through that in the third quarter, and then we are working towards normalization in the fourth quarter.
Tom Palmer: And then on capital allocation priorities, you noted the plans to focus more on debt reduction versus share repo. There is the dividend, which equates to a little over two-thirds of EPS at guidance this year, and then you have the La Regina acquisition soon to close. It seems like there also might be some investments needed to support the business. Maybe just an update on how you see this all balancing out?
Todd Comfer: I will take that one. Cash flow obviously has become extremely imperative for us just given the debt leverage we are currently at and the takedown in the earnings. We will continue to invest in our business. We will reallocate some of our marketing money, as we have mentioned, into promotional activity to get sharper price points, but the net effect of that will be that is part of the reason why it is impacting our earnings. We are going to have to get really tight on capex. As you know, we already took it down $50 million for the year. Working capital is going to have to be really tight. We are going to have no more share buybacks; even anti-dilutive share buybacks we will not do. The dividend is extremely important to us, but we will not be increasing that dividend anytime soon. We mentioned a $100 million cost reduction in overhead that is going to take place over the next couple of years, and that is in place to help cash flow as well. The La Regina acquisition in the near term is not going to be significant from a cash flow perspective. We will make one payment of roughly $140–$150 million before the close of the year. If you remember, that second payment, we have the option of issuing equity. That second payment comes a year from now, so if we need to issue equity instead of cash, we have that ability, and then the second half of buying up the 51% is probably a few years off. But rest assured, cash flow preservation is heightened for us right now, and getting that leverage down closer to three than to four is imperative for us.
Operator: Our next question comes from Peter Galbo from Bank of America. Please go ahead. Your line is open.
Peter Galbo: I actually wanted to go back on the Salty Snacks points, Mick, that you were making. I think I heard you correctly: the focus is really to be more promotional within chips versus maybe moving the everyday. Obviously, your largest competitor is making it more of an everyday shift. Why is promotional the right route or tactic for that within chips when you have, I guess, the 800-pound gorilla that is doing a more permanent shift on the price side?
Mick Beekhuizen: Let me give you a little bit more context around it. As I mentioned, we are going to take a surgical approach. That is important, and the other aspect of it is we are going to make sure that we continue to be competitive with our brands. If we look at the brands that we have with Cape and Kettle that both play more in the kettle subcategory, we believe that with the brand positioning itself, we have a right to win with these brands. That is important to recognize, and accordingly we need to make sure that we continue to lean into that brand’s right to win. Back to your point around value: values are absolutely critical. We have been pretty diligent in the past about making sure that we continue to maintain a competitive position. We are going to continue to look at key channels, and if I look at what the competition is doing, making sure that we stay competitive within those channels. What we are seeing right now, most of the time, can be resolved with our overall promotional strategy. There could be instances where we have to reset some of the pricing more permanently, and if so, then we will do that. I do not want you to take away that we are just going to solve this with pure promotional activity. I think it is going to be that surgical approach that I led in with.
Peter Galbo: Thanks for the additional context there. And, Todd, I think you gave some color around the EPS cadence for the back half, but just wanted to clarify that. I believe Q3 looks similar to Q2, and then you would see a normal step down in Q4 just to hit the $0.90 you need to deliver in the back half at midpoint. Do I have that math right?
Mick Beekhuizen: You have it correct.
Peter Galbo: Perfect. Thanks very much, guys.
Operator: Our next question comes from Megan Clap from Morgan Stanley. Please go ahead. Your line is open.
Megan Clap: Hi, good morning. Maybe we could just pick up there on the Q3 to Q4 cadence, and, Todd, maybe follow up on some of the margin commentary you gave Andrew in the first question. So if Q3 operating EBIT growth performance looks similar to Q2, obviously an improvement expected in the fourth quarter. As you think about the margin profile, it would imply improvement in margins as we get into the fourth quarter. I think typically Q4 is a lower margin quarter for you. Can you, whether by segment or on a consolidated basis, unpack the expectations as we go sequentially from Q3 to Q4 that would imply that step-up in margin? Thank you.
Todd Comfer: Absolutely. A couple of factors give us more confidence that Q4’s profile will be better than in Q2 and Q3. One, if you remember, the Sovos ERP conversion that brought volume into Q3 last year out of Q4—we will lap that, so we will get a benefit organically. We will get a benefit from that volume coming back into Q4 this year. We do anticipate Snacks stabilization—not going to be all the way to right—but we believe the Snacks margin will improve sequentially as we get into Q4. Tariffs—we will start to lap some of the tariffs in Q4 of last year. That year-over-year hurt will not be as great in Q4 as it has been in the first part of the year. And we will have lower advertising spend in Q4. It will be up in Q3; it will be down year over year in Q4, and that will help the margins.
Megan Clap: Okay, great. And maybe just one follow-up while you said on the stabilization in Snacks. From an organic sales perspective, Q3 to Q4, can you help us understand what you are expecting now for Snacks for the year? I know the compare does ease in both segments in the fourth quarter on the top-line perspective, but should we still be thinking about Snacks declining in the fourth quarter?
Todd Comfer: It is going to take a while. We have a lot of good activity going on, but Snacks will probably be down about 4% in the second half. That is going to be fairly balanced between Q3 and Q4, probably a little bit better in Q4 than Q3. But we are not anticipating a big sequential increase benefit on the net sales line. We do think we will stabilize margins. They will get better. They will not be all the way upright, but we do think the margin profile will get better as we end the year.
Megan Clap: Okay. Great. Thank you so much.
Operator: Our next question comes from Michael Lavery from Piper Sandler.
Michael Lavery: Just wanted to understand a little bit better—you said that some of the marketing spending will shift to promo spend. I get the need for some of the pricing adjustments or stepped-up promo spending, but it seems like the ideal is to walk and chew gum. Why not both? Is it just maybe being handcuffed given where you are on the leverage, or is there a way to get both? Do you have the right marketing spending level, and how do you think about balancing the need for that versus the pricing?
Todd Comfer: To be clear, our anticipation is marketing spend year over year will be up. As we started the year, we were hoping it was going to be up a bit more than we are now forecasting, but it will be up year over year. I would love to be spending more marketing money versus trade if the market would allow it right now, but we just think it is prudent to be competitive in certain areas where we have price gaps in the marketplace, whether it is on broth or on chips. We are not talking about dramatic changes in our trade philosophy or spend. We will spend more. Some of that will get funded by marketing. There will be an incremental hit to the P&L, as we have mentioned. The anticipation is marketing will still be up, but we are going to lean in a little bit more heavily into price.
Mick Beekhuizen: And I think, Michael, to add to that as we go through the year, we are taking a very balanced approach. I want to make sure that we reiterate that, because on core brands we are going to continue to make sure that we build them. If there is one brand that we are continuing to support—and we will continue to support—it is RAO’S on the Meals & Beverages side, and you see the positive effect from that in the results. Another brand on the Snacks side that we must continue to support with marketing is Goldfish. So we are being very selective in how we are allocating our dollars and our support between trade and marketing.
Michael Lavery: That is helpful. And just to follow up on the pricing approach. You touched on the promo increases, but then you have also talked about sharpening value architecture and some of the price pack architecture. You also touched on at least considering some list price adjustments. Can you give a sense of phasing and where you are in that process? Would I have heard it correctly that any list price adjustments are not decided but just under consideration? And on the price pack architecture, how much is underway versus under consideration?
Mick Beekhuizen: Let me unpack it. Some of the price pack architecture is going to take longer if it requires changing some of our package formats. But it might also mean—around, for instance, Goldfish—that we lean into an area that we see is actually working and is providing value to the consumer, such as multipacks within Goldfish. That has been working, and we need to make sure that we continue to lean into that space because we have a moment here with that particular pack. That is also what I mean when I mention price pack architecture. Then there might be some of the larger pack sizes that we have within Goldfish where we are leaning a little bit more into promotional activity in order to make sure that we hit a good price point that is providing that value for the consumer. Obviously, the promotional activity, as I mentioned, is a bit more of the focus right now—again, very surgical. I can see, for instance, on chips—if we are finding ourselves where certain list price gaps are just too large—we might selectively adjust. But the latter I expect to be smaller than the trade component.
Todd Comfer: Michael, this work is underway. We will do some things in the shorter term, but some of the activity that we are doing will take a little bit of time. As we look at some of the price slopes, particularly in our Snacks business, some of them are just out of whack. We have price per ounce in some sizes that are below where they should be and, conversely, some that are above. We need to get those aligned. It is going to take a little bit of time, but if we can execute that really well, there is some margin to be had.
Michael Lavery: Okay. Great. Thanks so much.
Operator: Our next question comes from Max Gumford from BNP Paribas.
Max Gumford: Another one on Snacks for me. Really just on this recovery. It has been ongoing for some time now. We have not seen the volume grow in a couple of years. At what point do you stop talking about a recovery to what you view as a normalized level of growth, and maybe reset your expectation for what normalized growth is? Asked differently, what is giving you the confidence that this is still a segment where there is a reasonable chance of growing sales organically at the levels you have at the past Investor Day? Thanks very much.
Mick Beekhuizen: Let me unpack that. With regard to Goldfish, based on the brand that we have, we have a right to win, and we believe that we have an opportunity to grow that business. We are seeing sequential improvement. We are obviously not all the way back to right yet, but I feel pretty confident around that, also because of the differentiated positioning of the brand. It has good better-for-you credentials, and we need to make sure that we amplify those. It is a brand that fits well with what consumers are generally looking for. We need to make sure that we tell that story and provide the value in the marketplace, and net-net we can, as a result, grow that business. I feel pretty good about the Goldfish side of things. If I look at Bakery as a whole, people continue to focus on moments of indulgence, and that comes back with cookies. We have been able to grow our cookies business now for four quarters in a row with the Milano innovation, and we have some incremental innovation that recently came out with Chessmen. I feel pretty good about our overall cookies business. The cookies category has not been growing, so we need to make sure that we continue to differentiate our cookies business, and that, as a result, fuels the growth. With regard to Fresh Bakery, as I described earlier, we need to make sure that we get the execution right, and at that point I believe we should be able to get that back to, call it, at least a flattish top line. That is with regard to Bakery. When I get to Salty, if I look at the two pieces of our business, we are playing in subcategories that are growing. Within pretzels, the pretzel subcategory has been growing, and we have two great brands with Snack Factory as well as Snyder’s of Hanover. Snack Factory has been growing. We have made some sequential progress on Snyder’s of Hanover. We have more work to do on it in order to get that back to growth, but because we are participating within a growing subcategory, I feel if we gain our fair share, we should be able to grow that business. On the chips side, that is obviously a more competitive space, as we have been discussing. Although the subcategories that we are in—kettle chips with Cape Cod as well as Kettle Brand—are well positioned within the kettle chips subcategory, which is the growing part of chips, the competition has increased over the past 12 to 24 months. As a result, we have more pressure and we are losing share there. That is why we need to do the work that I described earlier to make sure that we get a fair share of that growing subcategory. Finally, you have Late July. Late July’s positioning is exactly what consumers are looking for. It is growing. It is a little wonky between different quarters because of some promotional activity, but overall I feel very good about that brand. Hopefully that gives you some context to unpack our overall Snacks portfolio. Around why we believe we should be able to grow it, it is because the brands that we have and the subcategories that we are in are well positioned with what the evolving consumer is looking for. The consumer is looking for that premium, better-for-you, and flavor exploration experience, and our brands can provide that.
Max Gumford: Great. Thank you. And then on Goldfish, back in 2023 you announced you were investing about $100 million in the Richmond manufacturing facility to expand Goldfish capacity. Since then, at least based on what we are seeing in tracked channel data, volumes have been in decline. Can you talk about any capacity utilization impacts you have seen as a result of that expansion and your view on your ability to fill that capacity going forward? Thanks very much.
Todd Comfer: What you just described, unfortunately, is part of the reason why we have a 7% margin in Q2. One of the issues—not everything—but one of the issues is deleverage in the P&L. We invested, particularly in Goldfish but in other areas coming out of the pandemic, where we thought volume would continue to grow. It obviously has not. When you have higher fixed costs and your business is in decline a bit, that is really bad for margins, and that is what you are seeing. Our job as a management team is to make sure we can get that volume back, and the P&L really starts to improve if we can do that. It is as simple as that. We have to get Goldfish volume going in the right direction, or we will continue to have these margin hurts.
Max Gumford: Great. Thanks very much. Appreciate it.
Operator: Our next question comes from Robert Moskow from TD Cowen. Please go ahead. Your line is open.
Robert Moskow: Hey, thanks for the question. Just a couple more add-ons. I wanted to ask about distribution for your Snacks business. Your competitors talked about double-digit gains, and I wanted to know if you have seen distribution losses as a result of that. And then secondly, Todd, oil is jumping all over the place. It is going to have an impact on diesel, and I wanted to know if you could talk about how that may impact the cost structure of the DSD network. These are independent routes, so it is a little complicated. Wanted to know if you could help us. Thanks. Yeah, great, thank you.
Mick Beekhuizen: Todd, why do you not take the second one, and then I will come back on the first one.
Todd Comfer: Absolutely. Obviously, an incredibly fluid situation. Oil is bouncing all over the place right now, and I do not think anyone knows how this is going to play out in the next few weeks and, more importantly, months and years. The good news is right now, we are about 85% hedged on all commodities, including things like diesel for freight, and resins, and other plastics and aluminum that could get impacted by what is going on in the Middle East right now. There could be some impact to this year. It is not going to be significant. If this continues for several months—if oil remains where it is as we start the fiscal year—obviously things are different. This will start to have an impact on our business and everyone’s business if oil remains elevated, not just on freight but on other products that leverage oil in their products as well. More to come on that. Hopefully this will get resolved. As I mentioned in prepared remarks, we have no incremental cost embedded in our forecast from it. There is a little bit of risk there, but nothing substantial. If we are sitting here three or four months from now and oil is still elevated, we are going to have to address it, either through pricing or really sharpening our pencils on getting more cost out of the system.
Mick Beekhuizen: When I look at overall distribution, Rob, with the strength of our brands, you continue to see distribution opportunities, and we are also gaining some of that distribution. It is more profound in areas like Goldfish where we have a right to win. It is a well-positioned brand, and we continue to work with our retail partners in growing that brand. In some of the more competitive areas, such as chips, I see a mix of some gains and losses and, as a result, a little bit more net neutral around the distribution side. When I think about what we are doing about areas like that, if we have great innovation, we find that our retail partners are excited about making sure that we gain that incremental distribution, and you see that, for instance, in cookies. Cookies have done really well with the Milano as well as the Chessmen innovation, and as a result, we have seen continued distribution gains in those areas. Hey, Rob, one impact you mentioned—the independent DSD—just so we are clear: they are independent operators. They are responsible for their fuel costs and other operating costs. So there is no direct impact to us. But, obviously, if they do not have a competitive route where they can make money, ultimately at some point in time it impacts our ability to grow these businesses as well. We will have to be cognizant of that, but they are responsible for their fuel costs.
Robert Moskow: Thanks for that.
Operator: Our next question comes from David Palmer from Evercore ISI. Please go ahead. Your line is open.
David Palmer: Thanks. I am wondering if there is a bigger long-term comment to be made about the Snacks business. Sometimes when you have a margin of a segment get down towards what looks like maybe 10% this fiscal year, the implied valuation of it is compressed. There is something perhaps liberating about that in terms of how you are thinking about it. You have Mohit—he is joining from a company that spun out DSD and sold cookies; in other words, they rethought that business more completely. I am just wondering if you think that this is maybe a time when you can really think about the complexity of the business, what you own in it, so you can put the resources you want against the good stuff within it. I know there is limited detail that you could share, but maybe you can make a comment on that and I have a quick follow-up.
Mick Beekhuizen: We have spoken about this in the past. We are obviously operating the portfolio that we currently have. We are big believers in the brands that we have. We will always continue to make sure if there are alternatives that create better shareholder value that we take those into consideration. When I look at our current Snacks portfolio, another way of looking at some of what we are talking about—particularly with regard to the margin—is that there is a lot of opportunity here. You see that, hopefully, throughout our commentary—the action orientation and making sure that we go after these different areas. Making sure, as Todd mentioned, that we are stabilizing our top line is absolutely critical. Growing areas like Goldfish, which will help from an overall mix perspective, and making sure we get that Fresh Bakery execution right are all going to help margins. We are not going to stop with those initiatives. Continued focus on that elevated productivity level is really important—that is both within the plants as well as within our logistics network. Finally, Todd already mentioned the cost savings, whether they are with regard to a network or within our SG&A. We are going to continue to work on those areas, although some of them might take a little bit longer. We will always continue to look at all the different alternatives, but we are focused on the portfolio that we have and making sure that we work that as hard as we possibly can.
David Palmer: Thanks. Just a quick one on the other side of the business. I think a lot of your comments in your prepared remarks are really true about the cooking behaviors of the younger generation, and you are leaning in on that with this new condensed sauces business. I wonder about how incremental you think that can be. On the other side, how much should we be worried about ongoing market share slippage on the broth side? Your broth business has flattened out lately. I am wondering how you are thinking about perhaps reviving growth there, or at least forestalling whatever progress is being made by private label getting back on shelf. Thanks.
Mick Beekhuizen: Thank you for asking the question. We did not talk as much about the Meals & Beverages side of the business, but the in-market growth that we generated during the second quarter and the strong performance of RAO’S are obviously something that we are very excited about. The other thing that is really working within the M&B portfolio, as you are describing, is the overall focus on cooking occasions, and our portfolio is catering very well to that. Also, products within the soup aisle—broth on the one hand, and on the other, our condensed portfolio—have actually been doing relatively well because of the parts of the business that are focused on cooking and are being used as an ingredient. A little over half of the condensed portfolio in the second quarter has been the growing part of the portfolio. On the flip side, the eating side has been declining, so net-net, condensed has been relatively flat during the quarter. We are seeing that differentiated proposition that we can provide with our condensed cooking soups—which are being used as an ingredient, like cream of mushroom and cream of chicken—and we are now expanding that into Campbell’s condensed sauces, and we believe we have a right to win with that. What does that do? It allows us to start transforming more and more of the soup aisle into an ingredient that we are providing. It provides convenience and comfort at a very attractive value proposition. I am very excited about the Campbell’s condensed sauces. We are going to introduce that in June. I think it will be incremental to what we are currently providing, and I think we are going to learn a lot with that introduction. It is a great complement to our condensed cooking soups as well as broth. With regard to broth, broth has been a growing category. The two great brands we have within that category—Pacific as well as Swanson—both continued to grow during this past quarter, albeit, as you are pointing out, with a little bit of share pressure, which we anticipated because of private label recovery. We are going to continue to make sure that we stay competitive within the space and also focus on how we can grow that business, as it is a very attractive value proposition that fits right within that cooking behavior. Pacific has been growing double digits. The pressure has probably been a little bit more on Swanson. Todd also mentioned earlier that we are watching very closely the price gaps to some of the private label participants and making sure that, as a result, we stay competitive during key drive periods like the holiday period.
Operator: Our last question comes from Jim Salera from Stephens. Please go ahead. Your line is open.
Jim Salera: Yes, good morning. Thanks for taking our question. Mick, I wanted to build on David’s question there and ask if you could give us some details around Meals & Beverages in the back half of the year—particularly what we should expect on pricing given some of the competitive dynamics you just highlighted. Is there still opportunity for modest net price realization in the back half of the year? And embedded in your updated guidance, do you have incremental at-home consumption given some of the pressures on the consumer? Typically that benefits that portion of the business. Any detail on that would be helpful.
Todd Comfer: I will take pricing first. We will still have positive net price realization in the second half. It will not be as great as it has been, just because of some of the investments we have made in broth. We are actually making a little bit in RAO’S as well, but we still will have positive price.
Mick Beekhuizen: From a consumption perspective, you are probably going to see a little bit of pressure in the second half. You saw that in Q2 we did really well from an in-market consumption perspective, driven by the holiday period. Our products typically do very well during that period, and that was also very evident again during this holiday period. On top of it, as you saw, we had very healthy growth with regard to RAO’S. RAO’S grew in-market consumption 14.5% during the second quarter. As I mentioned in the past, we expect for the full year high single digits, and that is still what I am expecting—so a little bit of that disproportionate growth during the second quarter. Overall, I expect continued growth with the RAO’S brand. However, that leads to a little bit lower overall consumption growth in Meals & Beverages in the second half of this fiscal year. I think you are hovering probably around minus 1% to 0%. That is probably what you are going to see in the second half.
Operator: And we are out of time for questions today. This will conclude today’s conference call. Thank you for your participation. You may now disconnect.